Operator: Good day, and thank you for standing by. Welcome to the Taboola’s First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference maybe recorded. I would now like to hand the conference over to your speaker today Jennifer Horsley, Head of Investor Relations. Please go ahead.
Jennifer Horsley: Thank you. Good morning, everyone, and welcome to Taboola's first quarter 2022 earnings conference call. I'm here with Adam Singolda, our Founder and CEO; and Steve Walker, our CFO. We issued our earnings press release yesterday aftermarket and it is available, along with our Q1 Shareholder Letter in the Investors section of our website. Now, I'll quickly cover the Safe Harbor. Certain statements today, including our expectations for future periods are forward-looking statements. They are not facts and are subject to material risks and uncertainties described in our SEC filings. These statements are based on currently available information and we undertake no duty to update them, except as required by law. Today's discussion is also subject to the forward-looking statement limitations in the earnings press release. Future events could differ materially and adversely from those anticipated. During this call, we will use terms defined in the earnings release and refer to non-GAAP financial measures. For definitions and reconciliations to GAAP, please refer to the non-GAAP tables in the earnings release posted on our website. With that, I'll turn the call over to Adam.
Adam Singolda: Thank you Jen. Good morning, everyone, and thank you all for joining us for our first quarter call. Q1 was a strong quarter, we beat our targets, delivering 31% ex-TAC gross profit, growth over Q1 of last year, right from the 4% on a pro forma basis. We also generated $35 million of adjusted EBITDA despite a very challenging macro environment. Before I walk through the highlights from the quarter though, I want to address the revised guidance we issued today in conjunction with our results. The revision was driven by basically two factors: the main factor is the economic uncertainty caused by the war in Ukraine, which increased in the second quarter in a bigger way; and secondly advertising business in Europe. More than 30% of our revenue and global yields as many of our advertisers in Europe by all around the world, in many ways it's somewhat similar to what we saw in the pandemic, but obviously in a smaller scale where businesses slowed down their spending, but in this case mainly in Europe. The second factor is the launch of our bidder, which is now live and off to a good start, but still behind plan. Now that we're live and we're seeing real data and even more bullish and how much growth opportunity there is here, not only on Microsoft itself, but also on other platforms, which we do plan on integrating via header bidding in the short-term. Due to these two factors, we are lowering our full-year 2022 guidance ranges and expect gross profit to $595 million to $616 million and adjusted EBITDA to $152 million to $162 million. Steve will speak more about our guidance in a few minutes as well. I'm obviously not happy about having to adjust guidance especially after having a strong first quarter. I can tell you, our new guidance factors in both of these two one-time events we do not want to do this again. The fundamentals of our business are strong, we are profitable generating cash, we have technological advantages, our team is passionate and energized and our intention is to keeps meeting and beating our clients, partners and investors expectation. As I look beyond those two events, we're profitable, growing, expect to generate significant cash flow in 2022 with this new guidance and overall the business is getting a lot of momentum in all the things we love. We won new deals, expanded relationships with important partners, launched new products and made progress in capturing more of the $64 billion open web advertising market. There are few things that I do want to highlight that I'm very excited about. First, I'm taking a much bigger focus on growing our performance advertisers achieving even greater scale and relevance. Aiming to achieve something that I believe only for companies have ever done, Amazon, Google, Snap and Facebook making many, many advertisers big and small successful with them rely on them grow with them. We're going big here and you should imagine SmartBid to get even more attention and innovation. As an example, our new guidance assumes that we will double our engineers in that area over the next one year and four x over the next two years. That includes of course our AI engineers as well. On the other side of it and over time we see Taboola as a place any performance advertiser can fund positive ROI and succeed especially as social networks will not be able to check consumers as they used to I believe in the open web in contextual advertising being a big part of the future and advertisers. The second thing I want to highlight is at our Investor Day, I spoke a lot about our endless growth opportunity and momentum we're getting in replacing traditional banners with personalized relevant recommendations. You see most of the $64 billion of the open web advertising market is made out of banners, the same advertising formats invented 30-years ago, when Tamagotchi and DVDs were invented. Tamagotchi and DVDs obviously are gone now, but banners are still here and remain. As you think about our TAM and our growth we are liberating the open web from banners into relevant personalized experiences bringing that power of the wall gardens into the open web. At this stage, there is endless room for growth on this journey of replacing banners with Taboola. Amazon moved away from banners to paid recommendations, on Twitter there are no banners but paid post, on Instagram you don't see banners, but you see paid post and on search pages obviously, there are no banners, but paid search results. The open web is the only place where banners remain, and it was invented 30-years ago, this is our market and we have advantages in capturing it. In the first quarter, we continue to replace banners in the middle of the page and the homepage and other placements some examples include E-Online, globes in Israel, seven West Media in Australia and others. Thirdly, I'm incredibly excited about our OEM partners scaling really fast with Taboola News. This is becoming an increasingly meaningful part of our business, it's growing fast and it's scaling. It also relates to our vision to capture more time with consumers, as we talked about on our Investor Day. There is an exciting momentum here, which I hope to be able to update you very soon. More on first quarter, we have very strong publisher pipeline and saw progress with new deals, as well as renewals. A lot of time with significant expansion and the size and length of the agreement. To give you some examples, Penske Media Corporation, PMC a leading independent global media publisher that features monthly audiences of more than 310 million people with sites like Variety, Rolling Stones and other just moved to Taboola. Publishers moved to Taboola all over the world, not just in the U.S., Ciaopeople in Italy, France, [indiscernible] Forbes in Spain, Krone at in Australia and Metropoles in Brazil, just to name a few. I had a chance to personally talk to the CEOs of some of these and in many cases, the reason they chose Taboola is because they will generate more revenue and they get technologies that help them run their business. I told my Board this week as I look into the market spending 14-years with publishers, we provide them the technology that they want to beyond just the revenue. We empower the editorial team, we have them to drive growth and I believe in most markets 70% of Taboola is worth 100% of our competitors, which explains not only our high win rates, but also our higher gross margin as a proxy for competitive advantage. It is very expensive to take a publisher from Taboola. Another examples, one of our top five revenue publishers globally just extending with us for five years. Associated Press AP, Insider, Altice are also great names that have recently chosen Taboola. As I mentioned earlier, you can say I'm very excited about the advertiser side of our business. We recently updated that our advertiser base just crossed the 15,000 mark, and in Q1 we expanded our work with well-known brands such as Heinz, Canada Goose, Volvo, Michelin, Hyundai, Chipotle, Emirates, Progressive Insurance and Honda among many, many others. In Q1 we also signed and renewed trade agreements with a number of agencies, including Dense Air in the UK, Omnicom in Germany, TMF, AC Digital, Publicis, and Goldschmidt partnership in Israel. In Q1, 15% of our revenue were from brands and agencies and we expect this percentage to grow. As you think about the future beyond the core business, we want to keep diversifying what we recommend, we call debt strategy recommend anything video, commerce, gaming, audio and additionally, we want to grow the time we have with consumers by being wherever they may be. Tom Inbal, our VP Strategy talked about that as well on our Investor Day, we call that recommend anywhere on mobile devices, CTV, automobile and more. You may have read the article on Digiday recently speaking about the importance of personalized homepages. They referenced Washington Post, New York Times and Taboola Homepage for You product, which we've been speaking with you a lot recently. We launched it in early January as part of newsroom, our editorial suite for writers and editors and the idea if you can imagine is to make every homepage on the Internet personalized, driven by editorial team plus AI. It is a winning offering, it's more than just money and publishers are choosing us, thanks to it. Some examples of Miami Herald, McClatchy I just saw this morning with the team it's beautiful. Other examples include NDTV, The Independents, Synacor, [indiscernible] asociados and others. On the privacy front, which is one of our advantages we just announced an expansion of Taboola's trust portfolio. We work with brand safety leaders, including IAS, DoubleVerify, News Guard, Tag and IBUK. We believe we are a leader in content review and safety and these partnerships are critical to demonstrating our commitment to a safe, privacy and protected web, this also supports our expanding of work with brands and agencies. We're also seeing good headway in e-commerce, which comprise 15% of ex-TAC gross profit in Q1. It's been a little over six months, since we closed the Connexity acquisition and we're making steady progress cosigning advertisers, including e-commerce and new publishers deal and merging offices and importantly coming together as one team, one strong family. Progress on synergies in Q1 includes a bunch of things, expansion of Connexity publisher solution in APAC and EMEA, where we expanded Connexity's commerce monetization solution to 14 new countries. Teams are trained up and actively pitching several new partnerships on a weekly basis per country. Success is also building with Taboola ad sales selling Connexity's advertising solution. We've spoken previously of the success we're seeing out of China with multiple new advertisers signed on within the U.S. and new retail vertical sales team is in place, trained and has begun pitching Connexity e-commerce all the time. Lastly, leveraging Taboola's supply network for Connexity advertisers is taking off within the U.S. 54 merchants have already given consent to move forward with Taboola pixel. Within Europe a robust pipeline of over 200 clients has been built consistent of both new prospects and existing merchants. Before I hand it off to Steve, 2022 started strong. We had two one-time events that we think are now in our past. We've included those things in our new guidance and we're executing strong, when all the things that matter to our business with our core business growth with publishers and advertisers and going to recommend anything and anywhere in the open web. And now over to Steve, who will dive in deeper to our financial performance and guidance.
Steve Walker: Thanks, Adam, and good morning, everyone. Let me address right upfront our revised guidance. As Adam discussed earlier there were two factors that caused us to reduce our guidance. The first and main one was caused by the war in Ukraine and subsequent macro weakness, the effect of that on our business has been a negative impact on our European advertising business, which is more than 30% of our overall revenue. The economic and political uncertainty caused by the war, caused advertisers to cut back on their spend in Europe. This reduced global yield since many of our European advertisers target users in the U.S. and other countries. We saw an initial dip when the war started, but yield seem to recover in March before declining again towards the end of the month and in early April. We have also seen a related effect impact our growth, which is a weakening of the euro against the U.S. dollar. This translates into lower U.S. denominated revenue when we convert our euro revenues into dollars. We estimate the foreign exchange rate impact on our growth in Q1 was 1.5% and we'll have a similar impact for the full-year of 2022. We felt it was judicious to be cautious and therefore factored both the conservative outlook on yield for the balance of the year and the weaker euro into our forward-looking guidance. The second factor was the bidder that launched 100% on Microsoft on April 1st. While it's off to a good start it is behind our plan. We have factored current performance levels of the bidder into our forward-looking guidance. We believe there is potential upside to this as we have identified opportunities to improve the bidder and we also will start using the bidders to compete for display inventory via header bidding on publisher sites, other than Microsoft. However we chose not to factor either of these potential upsides into our guidance, since we prefer to be conservative. I'm obviously not happy to have to adjust our guidance and I can assure you that I don't want to be in this position again later this year. So we believe our updated guidance fully bakes in the impact of these two factors, both of which we believe are one-time events. Now more specifically on our results, as Adam shared, we had a solid first quarter, we met or exceeded our Q1 guidance on all measures despite some macro headwinds as I just discussed. Revenue in Q1 was $335 million ex-TAC gross profit was $135 million and adjusted EBITDA was $35 million. This represented ex-TAC growth of 31% year-over-year or 8.4% on a pro forma basis with Connexity, which is approximately 10% on a constant currency basis and at 25.2% ratio of adjusted EBITDA to ex-TAC gross profit, which is what we often refer to as adjusted EBITDA margin. As I mentioned last quarter, Q1 2022 is a challenging comparable, because organic ex-TAC gross profit grew 54% year-over-year in Q1 2021, which was an exceptionally strong performance. Of the Q1 gross revenue growth of $52 million, $21 million came from new digital properties and $31 million came from growth of existing digital property partners. Our growth in existing revenue came from a combination of yield improvements and upsells of additional platform capabilities to existing publishers such as our high impact placements offering. Our Q1 ex-TAC gross profit was $138 million and was up $32 million or 31% year-over-year. This growth came from three sources. The additional of new digital property partners to our network, growth of existing digital property partners and the addition of Connexity to our business. Our ex-TAC net dollar retention for our publishers continues to be positive at 106% for Taboola on a standalone basis. Looking at operating expenses, they were up $52 million year-over-year, which is consistent with expectations driven by multiple factors. First, growth and investment in our business. Second, the inclusion of Connexity, as well as higher depreciation and amortization from intangibles coming from the Connexity acquisition. Third costs related to being a public company. Fourth, some additional cost due to the resumption of travel and opening of offices as the pandemic receded. And fifth, higher labor expenses reflecting the inflationary environment and a tight job market. We generated adjusted EBITDA of $35 million, which was above our guidance of $32 million to $34 million, an increase of $1.4 million year-over-year. Adjusted EBITDA margin of 25.2% was lower year-over-year, however, it was in line with expectations, given the planned higher operating costs I just described. GAAP net income of $3.9 million included warrant liability revaluation benefit of $14 million, share-based compensation expense of $17 million and the intangibles amortization of $15 million, all of which were excluded from non-GAAP net income of $21.9 million, which was above our guidance of $12 million to $14 million. In terms of cash generation, Q1 is seasonally the lowest cash generation quarter and we were pleased to have $8 million in operating cash flow and $1.2 million in free cash flow, which was an improvement of $16 million year-over-year. We ended Q1 with a strong balance sheet position and positive net cash. Our cash and short-term deposits balance of $318 million is above our debt balance of $285 million. So a good result in terms of cash generation and we continue to have ample financial flexibility. Shifting now to our expectations for the rest of 2022, we are updating our 2022 guidance as I mentioned and now expect revenues between $1.5 billion and $1.54 billion. Gross profit between $485 million and $505 million, ex-TAC gross profit between $595 million and $615 million. Adjusted EBITDA between $152 million and $160 million and non-GAAP net income between $83 million and $91 million. I'd like to say, the fundamentals of our business are strong. Looking beyond those two one-time events that we've now adjusted for with our new guidance, we continue to be a company that is growing at a good rate, that is profitable and that generates strong EBITDA and significant positive cash flow. Our five-year compound average growth rate for ex-TAC based on this new guidance is 23% and we will generate over $150 million of adjusted EBITDA in 2022. We continue to demonstrate competitive advantage based on our strong ex-TAC margin, which is almost 40%. We are bullish about our business and believe that over time Taboola is a 20% per year grower and 30% plus adjusted EBITDA margin business. Because we believe the fundamentals are strong we do not plan on reducing in the investment in our business at this time. We believe that strong businesses benefit from continuing to invest through downturns, and that these investments will position us strongly going into 2023 for growth acceleration. With that, let's open it up to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Stephen Jue with Credit Suisse. Your line is open.
Stephen Jue: Okay, thank you. So Adam, can you give us a little color on the bidder product that you called out as being behind plan. What is it designed to do? And what do you think is the reason for what sounds like a slower pace of customer activity? Do you think it's a product or an ROI problem? Or do you think this is an awareness problem. And I guess the -- in regards to weakness you cite in Europe, did the overall activity just stepped down on the heels of the war and not really recover thereafter. And does the guidance basically assume at this point that Europe, back of the envelope math, it seems like it's down about 25% versus where you guys had planned before and that persist for the balance of the year? Thanks.
Adam Singolda: Sure. Hi, good morning, Steve and good morning everyone. So about the bidder and Steve can take the financial part in Europe. So as an update, I'm happy to say it's fully live now, so we have developed over the last year or so the bidder, the team has done a really good job integrating that with Microsoft supporting us in designing that. I would say we're seeing the few things that are doing even better than expected and others that are behind. But overall it's down our expectation, but off to a good start and from here we believe that as we look forward on Microsoft specifically and even outside of Microsoft there's a lot of growth opportunity for us, because if you recall, we mentioned on the Investor Day that Microsoft was kind of drag in our growth in past years, that will not be the case as we look into the future. So I'm really happy that the team was able to build the technology that in such a quick time, you know, is doing what some other companies have done in 10-years building a bidder and from now I think we have a lot of opportunity with them. The second thing is the bidder over the next, short-term really will be start integrating into other inventory beyond just Microsoft, so header bidding and things of that nature. So, overall the bidder will become a nice growth opportunity for Taboola.
Stephen Walker: Yes, and Stephen regarding Europe, so I think what the way to think about what happened in Europe is that you can think of it almost as a small pandemic except in Europe, not in the world as a whole. And what happens is advertisers when they see that economic uncertainty, we see two things from them. So, one is we see less spend, so in some cases they cut down on budgets, they reduce what their activity and also we end up earning less-per-click, because the way to think about that is, we've always talked about the fact that our yields are driven by three factors click-through rates, cost per click and conversions. And basically they become worried that their consumers are not going to buy as much from them so they reduce how much they're willing to pay-per-click to adjust for the fact that they're not going to make as much on it. So we see all those effects and then what happened with us is, because our European advertising business got softer, it actually impacted our global yields, not just Europe, because basically the European advertisers in many cases are trying to reach U.S. consumers and Asia Pacific consumers and others. So it actually impacted our global yields. So when you mentioned that Europe was down 25%, it's really our global business gets impacted not just the European business, and in fact our yields, which is where it affects our full business, so that's the way to think about kind of what happened there.
Adam Singolda: But Stephen from a moving forward perspective, we think both the bidder and the case in Europe are single one-time events and the guidance we've revised includes everything that we think has happened and from now you know it's only one way up.
Stephen Walker: Yes. And I just want to mention that we do or the fundamentals of our business are still strong so we still expect to generate $150 million plus of adjusted EBITDA, and we expect to generate significant positive cash flow to the tune of high 10s of millions of dollars of cash flow this year as well.
Stephen Jue: Right.
Steve Walker: Thank you.
Stephen Jue: Thanks.
Jennifer Horsley: Operator, we'll take the next question.
Operator: Our next question comes from Laura Martin with Needham. Your line is open.
Laura Martin: Good morning. I'll ask two, let's do one at a time. So I want to ask about trade desks open path. I understand that you guys are supply path optimized, because you have direct relationships with buyers and sellers. But my question is, isn't really trade desk open path essentially doing your job in a way, but in the open Internet meaning, if somebody if these journalistic companies like Washington Post adopt to open path and is really not going to charge for it is just going to do it at cost just it’s doing cost really they don't really need -- doesn't that take business away from you or isn't that harder than for you to take a customer away from open path, because they basically have optimized the supply chain, which is one of your big brand promises when you sign up a new customer, could you sort of speak to that.
Adam Singolda: Yes, so first of all, and good morning Laura, hi. So first of all, it's important to remember that Taboola's supply and Taboola's demand are both unique to us. So if you think about, if you go to ESPN or CNBC or BBC or any one of our publisher partners what we actually create the real estate we create on those publishers does not look like anything that the trade desk is looking to achieve with open path, right? So we serve two things both editorial recommendations, as well as paid recommendations, you cannot replace that with any form of just in our banner or single ad. So from a supply perspective, it's very unique, it's very native, so that's from that perspective, the demand is also unique, because most of it is performance advertising, supplemented by about 15% of brands and agencies. So both of those dynamics make it quite unique and not something that we believe is in the same addressable market is what the trade desk is looking to replace. The second point I'll make is that over time, as I look into the next 2022 -- the next 10-years, in any case I suspect banners are at risk of being dissolved, because if you can imagine, and I mentioned that in my letter, we're seeing really good momentum replacing banners with this sort of carousel experiences that are half editorial and half paid and the paid portion is either e-commerce, video or native advertising. And if you think of from a publisher perspective, any banner I have, homepage, middle of the page, section front that anyone can potentially buy would I prefer to sort of a banner or would I prefer to make the sentiment of money or more and then have half of it actually engage my users with editorial content. And that's a very hard competition, so we're seeing good momentum there and I mentioned in E-Online, NBC Sports, South East and others and I think over time that is where Taboola will grow the most, which is 10s of billions of dollars of banners that will be replaced by basically this paid recommendations and editorial recommendation.
Stephen Walker: Let me just add one other thing in addition to the unique supply and unique demand that Adam mentioned, we also have unique data. So if you remember, we've talked about in the past, but what we have, that the trade desk doesn't have is we know what people are reading about. We know what they're interested in, it's a different form of data. So I think that also makes -- gives the advertisers something different with us than they get from the trade desk, because it's a different way of targeting consumers with that highly contextually oriented data.
Adam Singolda: And that's why 9% of the revenue SmartBid.
Stephen Walker: Right.
Laura Martin: That's super helpful. Thank you for that. Okay, the other thing is that is, Steve you said you're going to keep costs in line even though revenue is going to be a little softer. And Adam you said in one area, you're going to double your engineering resources over the next year. My question is around hiring, have you had issues hiring and if you've been able to hire and ramp up your spending as quickly as you wanted given the tight labor market.
Stephen Walker: Yes. So it is tight for sure. And I think especially when it comes to tech resources, it's a very challenging environment. So, so far this year we're a bit behind on our hiring plan, but April for instance was our best hiring month basically in the last 18-months. So it could be that things are opening up a bit and we do expect to kind of higher at something close to what we had initially targeted by the end of the year. So I'd say bit behind, but we think we can close that gap and definitely, it's competitive still, but it could be that things are loosening up based on our recent experience.
Adam Singolda: And we're also taking our international strategy to expand our tech sort of hubs, right. So we have Israel initially. We have an office now in LA as part of the Connexity that's growing fast. And then also in Taiwan, we're seeing a lot of good momentum. So in general, we're also looking to expand our international, sort of, tech hubs to be able to attract great talent.
Laura Martin: We've been hearing that back to office. If you let people be distant, it’s easier to recruit. What's your in-office policy Adam?
Adam Singolda: Well, you know, we -- first of all I would say that we don't force anyone to come back, we give the local leaders, sort of the opportunity to decide, what -- we have -- we work in 22 countries and it's very different. I was just in Israel and Israel people are half their offices in Israel, every day, so that's hundreds of people coming to the office in other regions much less, in China, people are at home. So I mean it's very regional. So we want to empower our leaders to decide. Personally, I can tell you my opinion is that being in the office, seeing the people, we hired north of 400 people last year. So you can imagine seeing them, interacting with them, showing empathy to each other is such a boost in culture and eventually execution. So I think it's important to see each other. I think over time companies that will be too aggressive and being remotely will suffer from execution gaps, so I choose culture and in person. But that will take time, I come to the office.
Jennifer Horsley: Thanks, Laura.
Laura Martin: Thank you.
Jennifer Horsley: Operator next question.
Operator: Thank you. Our next question comes from James Kopelman with Cowen. Your line is open.
James Kopelman: Good morning. As you look across industry verticals, can you talk about where you saw advertiser strength during the quarter? In which verticals have held up the best into April and May versus which verticals saw the most impact from macro and other factors that you cited. Any color around the conversations you're having with advertisers would be helpful? And secondly, in terms of your forward guide you mentioned taking a conservative approach, what do you view as the two or three biggest factors that could drive upside over the quarter and through the remainder of the year? How much of potential upside could come from macro or broader digital market improvement versus execution on your growth initiatives, including Connexity or new features like SmartBid. Thanks.
Stephen Walker: Thanks, James. So I'll address the verticals. First of all, so I think the way first of all, we've seen the most impact geographically rather than on certain verticals. So as we talked about Europe has been weak, there has been much less of an impact in the U.S., although there has been some flow-through but less of an impact on advertisers in the U.S. and Asia Pacific and Latam. So generally speaking, it's been much more of a regional impact and in Europe for instance, it's pretty, it's been impacted pretty evenly across the board. The one thing, I would say is that it definitely has impacted brands and agencies more than performance advertisers. So for instance in Europe, I was talking to our VP of EMEA yesterday and he was telling me that they've had almost every single brand in Europe said, please don't show me on any pages about the war. So they've cut back significantly on what they want to be shown on, they've cut spend, they reduced targets, whereas, he said not a single performance advertiser has had that same conversation with them about not being on war pages. So just to give you a sense, it's definitely more brands and agencies. We are also seeing a bit of softness in e-commerce mostly, due to supply chain issues. So that has been a little bit softer than again our core performance advertising, but not by a lot. So generally speaking, it's relatively across the board, but with a little bit more impact on brands and agents branding dollars then performance and a little bit more on the e-commerce than our core performance.
Adam Singolda: Yes, I can take the second one, so not assuming like we said, the guidance assumes that those two one-time events are in the past and from here with execution, we believe we can meet and beat our people's expectations. So just to share a few execution opportunities for us that are within our control. One, there is very strong publisher pipeline, you've seen the recent success. We know with PMC and others people choose Taboola thanks to our technology and revenue advantages that we have in the market, but also our wins are becoming greater impact to our business, because we're not just winning by methodical where we traditionally operated. We're also winning banner, real estate. So we have a bigger vertical growth with those publishers that we win, and I spoke about banners move into Taboola. I also mentioned that performance advertisers we're taking and have a huge ambition and a dream here to really become what I believe is the fifth company in the history that -- and that was very unique in performance advertising success outside of Amazon, Google, Snap. So I think, and Facebook. So I think we have a huge opportunity in performance advertising and I mentioned the investments we're making on AI and engineering, so that's just on the publisher and advertising fund the core. Taboola News has -- is basically experiencing explosive growth, it's a three-digit growth for us. We're seeing great momentum. You've seen that on Investor Day, Samsung on stage speaking about it hopefully we'll be able to share more soon publicly, but I'm very excited about the financial impact it's making and this is, sort of, a fact is growing basically part of our business. The bidder, the bidder is live there is no more uncertainty about what's going to happen when launching slide. It's off to a good start from here. The tech team is very optimistic about all the things we can do to grow. One, on the Microsoft partnership together with them and the second thing is outside of Microsoft. We see a lot of the header bidding opportunity where we have advantage, because like Steve said, we have a lot of advertisers. We have a unique data and now with the bidder technology, we believe we can become a significant bidder. So that number -- that's the third one, and that one is e-commerce, personally I just bought two strollers and trampoline and a mattress to my daughter I did all of that on review.com, New York Times, Walled Garden and others, because I have no idea, what's a good trampoline and I believe this experience that everyone on this call knows exactly what I mean, will be a big part of the future. We all need trusted sources to be able to make decisions about what to buy and I think that will be a huge driver for us starting now, but also into the future. So I would say four things, strong publisher advertiser pipeline, Taboola News expressive growth, bidder going up and up and e-commerce synergies.
Stephen Walker: Yes, let me just add two things on the -- from a numbers perspective on those four, the four upsides that Adam talked about. So first of all, on the bidder, he mentioned that we -- that there is an opportunity to improve the bidder. And also to take it to header bidding on other publisher sites. Just to be clear, in our current guidance, we factored in current bidder performance, which we already are seeing improvements on. So we think that is definitely upside as we improve the bidder over time. So I think that's, we've tried to be very conservative in terms of what we factored in there and we did not bake header bidding into our guidance at all. So that's pure upside if we are successful with that. The other thing I would say on the new publisher supply that Adam talked about and winning new publishers. We're currently forecasting that this year will be our second best year for new publisher revenue in our history other than 2019, which was exceptional, most of you know the story there. So it is shaping up to be a very good year from a new publisher supply perspective.
Jennifer Horsley: Thanks, James. Operator next question?
Operator: Our next question comes from Andrew Boone with JMP Securities. Your line is open.
Andrew Boone: Good morning and thanks for taking my questions. I've got guidance questions and then just an operational question. So I think Microsoft historically was around 20% of gross profit ex-TAC. You guys had highlighted that Europe is 30% of revenue. Can you just help us size the two impacts as we think about guidance is how do we think about the difference between the two? And then secondly, given softer demand, can you remind us the amount of contracts that are fixed CPM versus percentage of revenue, in other words, how should we think about softer demand rolling through to take rates? And then lastly and more operationally hopefully a little bit more time. Adam, you highlighted the investment in performance advertising. What's missing right now from your advertiser suite. What are you going to focus these new engineering resources on? Thanks so much.
Stephen Walker: All right, so let me start with the split between like the impacts of the different components here. So first of all, I kind of said in my prepared remarks that foreign currency exchange rates is about 1.5% drag on our growth. So that is directly comes off of our forward-looking guidance. A majority of the rest of it was the European demand softness due to the war. The launch of the bidder was a factor, but a smaller part of the overall reduction. So without getting into specific numbers, that's how you can think about the three different components. To your second question about guarantees, so we in our Q1 filings, I believe, we said that the Q1 percentage of TAC that was paid out under guarantees was 9%. We expect that to be consistent with Q2, so just to give you a sense in April, we paid out TAC at 9% of our base 9% of our TAC was paid out under guarantees again. So we expect that to be relatively consistent, maybe it trends up very slightly, but we don't expect it to go up a lot. So that's, we don't see risk to our business from that perspective.
Adam Singolda: Yes. Hey Andrew, and then you're going to ask me an advertising question. So I'm happy you did. So let me just say, you know, as I think about the opportunity we have on the advertising side Google and Facebook, Weibo to get to millions of advertisers, Amazon as well we just saw they just quashed a $30 billion in advertising, which is mostly performance as well, a big amount of advertisers, Snap I believe it's quarter million advertisers, we had 15 and I believe the rest of the companies in advertising space have less than us. And I'm talking about direct contracts not problematic, people that's -- the clients who work directly with that rely on your technology and you're there. That is the main thing I'm talking about. So to me to be the fifth company to me, you know, as far as I understand it, that is able to make a huge amount of advertisers successful and by successful I mean, they come to us, they tell us what is their goal whether that's an acquisition cost or whatever go to trying to reach. They give us some credits to make create the craze for them, they may have them and we do the rest and we were able to drive the most amount of sales for them much like they can rely on search and social with Google and Facebook, that is what I want Taboola to be. And as part of that we're doing a lot of interesting things in terms of the product roadmap, but also, like I said, investing in engineering and AI, so that we are very well positioned to be the fifth company that has ever done it. Now that will be a multi-year journey, right? But upside here is unlimited, I mean, because I think the yield effect as we continue to be successful, and that's one would be very impactful.
Jennifer Horsley: Thanks, Andrew.
Andrew Boone: Thank you.
Jennifer Horsley: Operator next question.
Operator: Our next question comes from Steven Roman with Oppenheimer. Your line is open.
Jason Helfstein: Hey, it's Jason, hey guys. So I guess two questions and they're kind of related. So I guess, help us understand, look the theme right now obviously is everyone thinks we're going through a recession and more and more we're seeing companies cut back on spending, you're treating not to cut back so help us understand what you will gain by not cutting back? And then the second is the market seems to, kind of, question your business, model even prior to this current concern about macro that we're now some of that relates to what Laura talked to, some of it is still just people are focused on some of the early days of the business where there was more click paid as opposed to the content recommendation, which is the business today? So I guess like help us understand you're a meaningfully cash flow generating business, you just talk to us, how you plan to narrow the intrinsic value of what the stock is worth versus, you know, how the market is valuing you within the tools of your control? So again a two-part question, what do you think you're getting out of making investments, while others are cutting back? And then two, how do you ultimately get the market to reward you for the value you're creating. Thank you.
Stephen Walker: Great, thanks. I'll start with the first question, which is spending. What are we getting for by not cutting back. So as we talked about at our Investor Day and as many of you probably know disproportionate amount of the investments that we're doing in our business, the growth of our operating expenses is going towards R&D. So what we're gaining from that is obviously new products, new services things that we can bring in terms of value to our advertiser and publisher partners. So -- and frankly expansion into the growth areas outside of our core business. So where that translates for us in terms of our business is in terms of growing our core business, it's growing yield by bringing on more advertisers making them more successful, driving up our overall revenue to our individual publishers by growing that yield. It's new publisher tools for our publishers, for instance, will continue to invest in homepage for you, which has been very well received by publishers and it's something that we want to double down on and really add value to our publisher partners with that. And then in the growth areas, Adam mentioned a few minutes ago that Taboola News is the single fastest growing part of our business, it’s triple-digits percentage growth rates this year. That's something, that two years ago, if we had not been investing like we have in R&D that wouldn't be a significant portion of our business. So that's the type of thing that we get by continuing to invest in our businesses, growth in new areas that frankly we wouldn't get without that investment. And as we said, we think that great companies invest through downturns, and that's what makes them unique and special and we're fortunate enough in our case that the fundamentals of our business are strong. I mentioned we plan -- we still expect to generate over $150 million of adjusted EBITDA and high 10s of millions of dollars of free cash flow this year. We're in a strong financial position, we think it would be a big mistake for us at this point in time in our kind of advantage position with generating positive cash flow to cut back now. Now is the time to invest.
Adam Singolda: Yes. And about the second question, I think it goes back to where you think the industry is going and what you think is the addressable market that we have and also the fact that we're a large scale company already and we have advantages as we continue. So if you unbundle that, over time I do think this is going to be a company that over $10 billion in revenue in the open web, side by side to the walled gardens, but just which doesn't exist today, right. So the open web does not have a big scale over $10 billion revenue company, so that advertisers can really rely on that channel, side by side to search and social. So that's something that I think is going to happen. And the way it's going to happen in my belief is that it's going to be replaced in traditional advertising formats that were invented when you and I watch DVDs with a feed of personalized recommendations like we see on the homepage of Amazon. That is what our children will experience. I do not think they will see more cubes that 0.1% of people click on. So that is -- I'm very bullish on that future. Secondly, I think as you look into the people that we partner with publishers, publishers need a very, very good friend and we are the best friend, you can get we empowered the entire organization, it's more than just money, the editorial team get newsroom and help it’s for you they get commerce strategy, subscription opportunities and that's why you're seeing five to 10 year partnerships, which I believe no other company on the Internet has ever had. So I also think it's -- we're well positioned to become the open web's best friend, because we invest so much like Steve said in technology. Thirdly, as you look into your mobile phones, TV, automobile. I don't think you'll see banners in your car, but I do think you'll see a feed of recommendations in your car. I don't think you'll see a banner on your Samsung. But I do think you'll see personalized recommendation from Samsung and I don't think you'll see banners on your TV, but I do think you're TV will say you may like. So as you look at other future time spent with people, we are well positioned to be that engine that says, you know, other people also liked. So in about the stock I really care little about short-term stock dynamics as -- but one because I can't control it and we're part of a world dynamics that I can control either, but I can't control the long-term execution of this company and I still think that by 2025 we are close to $1 billion of ex-TAC, which is very significant scale company in the open web. And as part of that like Steve said we're growing, we're profitably growing and we're producing high 10s of millions of dollars of free cash flow even in 2022, which is again is a tricky at least in the beginning. So, to me it when you add all those things up. It's a good place to be.
Jason Helfstein: Just let me quick follow-up. So to your point on like not being focused on the stock price short-term understand you're taking a long-term view and clearly with the answer. I mean is it a concern at all from employee retention. Do you have to -- do you have employees who are now looking at their compensation and saying, I'm making a lot less money, because whatever I'm massively out of the money, my stock options or RSUs?
Adam Singolda: Yes, I can tell you, first of all, I know it when we became a public company. The first thing that happened is you have almost 2,000 people that become traders and that's a new thing, but it's also new thing for me, because we only are used to build and ship and dream. And now we also have this reflection from the public market. So it’s definitely a new thing and we're adjusting to it. We don't speak about the stock in all-hands, we have in all-hands every two weeks I don't speak about it. I answer questions if someone asked, but it's not the things that I focus on, because that can short-term, we can't control it. People care, of course, it's stocks, but it is there, at least, you know, we're not alone there are many great companies like Taboola that are also going through these dynamics. And I can tell you what people and I've been doing this for a long time, what people care about the most when they think about where they want to be from a career perspective, they care so much more than money and things of that nature. They care about who's their manager, how is their career going to be developed, how will they be able to reinvent himself over the next three to five years, as an employee and Taboola is an amazing place for people to be part of, it's a great culture, we're very diversified, we're global and people care about that more than I think the stock price.
Jason Helfstein: Thank you.
Jennifer Horsley: Thanks, Jason. Operator, I think we have one last question.
Operator: Yes. Our last question comes from Shyam Patil with Susquehanna. Your line is open.
Unidentified Analyst: Hey guys, this is Jared on for Shyam. Thanks for taking the question. Digging in on Connexity a little bit we saw that this represented about 15% of ex-TAC gross profits in the quarter, roughly in line with 4Q? How did this performed versus your own expectations? Are you pretty comfortable with that range of ex-TAC gross profit in the near-term. And looking ahead a little bit do you think that Connexity sensitivity to macro factors is pretty similar to that of the core business or is there anything to call out there.
Stephen Walker: So yes, Connexity. Thanks for the question Jared. Connexity has performed basically in line with our expectations. So we're, we're happy with where we're at. I think Adam talked a little bit in his prepared remarks about some of the positive things that we're seeing and some of the positive trends that we are seeing. He also talked a bit about the fact that we still believe strongly that this is going to be core to the publisher revenue in the future. So we still think it's going to be a third of publisher revenues in the future. So we're still very bullish on it and in the short-term, it's performing up to expectations and that, by the way, is despite the fact that there are some headwinds around e-commerce in terms of supply chain challenges and you saw Amazon had a down year-over-year quarter for the first time in forever for them. So there’s some headwinds, but we're happy with the performance it's roughly in line with our expectations and we feel good about where we're at and we're very bullish about the future.
Jennifer Horsley: Thanks, Jared.
Unidentified Analyst: Great. Thank you.
Jennifer Horsley: Now, I'll hand it back to Adam to wrap up.
Adam Singolda: All right. So, thanks everyone for joining us today I will look forward to spending time with all of you in our investor base over the next few weeks. So let me just start by saying that I'm very bullish about Taboola's growth. The fundamentals of the business are very strong like they were before this revision. We had two one-time events, they are now in the past and they are fully factored in our guidance. Trust me we do not want to do this again. As I look into the rest of 2022 and the future of the Internet, I'll say three things, one, we've replaced banners and we are replacing banners with native, personalized experiences like all of us in Amazon homepage, Twitter, Instagram go and checkout NBC Sports, Online, Altice and others and you'll see exactly what I mean. Two, e-commerce will be a huge part of the Internet and our business. People would need trusted publishers to make decisions about what to buy and they want to connect with direct-to-consumer brands as they do it. Three recommendation engines will be everywhere. We see explosive growth here and we had amazing partners like Samsung, Xiaomi where over time we'll be in every TV you buy and every car you drive and I don't think traditional ads will make it like we will. A growth -- our high gross margin, I think is a proxy, that will not only just winning, because something that everybody needs. It also shows our competitive advantage. We're generating over $150 million of adjusted EBITDA, high 10s of millions dollars of free cash flow in 2022 and my team is energized like never before. Now as the American rapper Fat Joe says and I will quote him from here, it's all the way up.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.